Operator: Welcome to Aecon’s Q1 Analyst Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer-session. (Operator Instructions) As a reminder, this conference is being recorded Wednesday, May 5, 2010. I would now like to turn the conference over to Mr. Mitch Patten. Please go ahead, sir.
Mitch Patten: Good morning, everyone. Thank you for participating in our analyst conference call regarding Aecon’s first quarter 2010 results. My name is Mitch Patten, I am Senior VP of corporate affairs for Aecon Group. Joining us this morning are John Beck, Aecon’s Chairman and CEO, Scott Belfour our President and Dave Smales, our Chief Financial Officer. Before turning the call over to Scott, I want to remind our listeners that some of the information we’re sharing with you today includes forward-looking statements. These statements are based on assumptions that are subject to significant risks and uncertainties. Although, Aecon believes that the expectations reflected in these statements are reasonable, we can obviously give no assurance that the expectations of any forward-looking statements will prove to be correct. With that said, I’ll turn the call over to Scott. Scott?
Scott Balfour: Thank you, Mitch. Good morning everyone and thank you for joining us. I'll begin by touching briefly on Aecon's consolidated results for the first quarter of 2010. David will then review the segment results before turning the call over to John, who will discuss the outlook going forward. Overall, the first quarter of 2010 can be characterized by stronger revenues, primarily in the industrial segment and as we had anticipated somewhat lower earnings, also primarily in the industrial segment. As I mentioned, David would discuss the segmented results in more detail in a few minutes, but because there is so much in the story this quarter, let me say here that the industrial results were impacted by a few important factors this quarter, First, with the addition of the Lockerbie & Hole acquired in the second quarter of 2009, which had significant top and bottom line impact on a year-over-year basis. Second, as it's clear and well understood the softening of the industrial construction market that has occurred in the past 12 to 18 months. Third, perhaps less obvious on the surface, was the impact of a couple of a large projects in Ontario that contributed very high margins in the first quarter of 2009, as it has contractual and project completion milestones, margins that were not repeated this quarter. Therefore the impact of these factors was a quarter in the industrial segment that was very similar to the fourth quarter, in terms of operating margin that was substantially different from the first quarter of 2009. On a consolidated basis revenues in the first quarter of 2010 were $426 million, an increase of 25% compared to the same quarter of 2009, with a revenue increases in the industrial and building segments more than offsetting decreases in the infrastructure and construction segments. Operating losses of $4.1 million in the first quarter were $3 million higher than in the first quarter of 2009. The decrease in earnings is largely due to a decline in gross margin from 9.6% of revenues during the first quarter of last year to 6.4% of revenues in the first quarter of 2010. The declines were primarily in the industrial segment, as noted earlier. Net interest expense of $5 million in the first quarter of 2010 was $6.3 million higher than the first quarter of 2009. The increase resulted primarily from higher levels of non-recourse debt related to the three Infrastructure Ontario projects that are currently in progress and from interest costs related to the issuance of convertible debentures in the third quarter of 2009. Overall, the net loss of $6.6 million or $0.12 loss per share compares with a net loss of $600,000 or $0.01 loss per share in the first quarter of 2009. Backlog at March 31 as $2.12 billion, an increase of more than 50% since the same time last year. The quarter-over-quarter comparison of backlog was favorably impacted by the acquisition of Lockerbie & Hole in the second quarter of 2009 and notably, new contract awards up $362 million in the first quarter of 2010 represents a 22% increase over the $296 million reported in the first quarter of 2009. David will now review the segment by segment results. David?
David Smales: Thanks, Scott. Starting with the Infrastructure segment, revenues of $98 million were $13 million lower than the first quarter 2009. Most of the revenue decrease resulted from a slowdown in the pace of construction at the new Quito airport compared to year ago and from civil operations in Western Canada. We are offsetting these declines with an increase in revenues from utilities operation generated by growth in Western Canada. The Infrastructure segment operating loss of $10.2 million in the quarter represented $3 million or 23% improvement over the same quarter in 2009. Operating profit increases in the segments material and civil operations will probably offset by decreases in utilities and international operations. Results in the material segment were impacted by $7 million gain on sale of land during the quarter. Backlog at March 31st was $553 million which represents a decrease of $107 million over the same time last year. The drop in backlog results primarily from lower backlog in international and civil operations only partially offset by higher backlog in materials operations. The decline in civil backlog was more than offset subsequent to the end of the quarter when Aecon announced one of the largest contracts in its history that it had joined the joint venture expanding the A30 highway near Montreal. First quarter revenues of $139 million in the Buildings segment represented 28% increase over the same period last year. The increase resulted primarily from an increase in Ontario operations, reflecting the impact of several large projects, including three infrastructure Ontario projects. The increase was partially offset by decline in Seattle and to lesser extent Quebec operations. Segment operating profit of $800,000 in the first three months of 2010 compared with the loss of $1 million in 2009. Most of the $1.8 million improvement in operating profit occurred in Quebec. Backlog of $687 million at the end of the quarter was $167 million higher than at the same time last year, with increases in the segment’s Ontario and Quebec operations. New contract total $89 million were recorded in 2010, which compares to $94 million in 2009. Industrial revenues of $170 million in the first quarter of 2010 were $74 million, or 77% higher than 2009 due to the acquisition of Lockerbie & Hole in the second quarter of 2009. Following the acquisition the heavy industrial operations in Western Canada were consolidated into a single operating unit by combining Aecon and Lockerbie's Western Canada industrial operations. Revenue increases from site construction projects in this newly combined Western Canada operation as well as the Lockerbie Mechanical unit contribute the majority of quarter-over-quarter revenue increases. Revenues decreased in Ontario and in IST's operations. The Industrial segment generated an operating profit of $6.4 million in the first quarter of 2010, compared to $13.2 million in the same quarter last year. The majority of the $7 million decline occurred in Ontario. As Scott noted a few moment ago, much of the decline was the result of very strong margin reported last year and not repeated this year on a couple of projects in Ontario. This decline was partially offset by increases in Western Canada, both from Aecon-Lockerbie Industrial and Lockerbie & Hole Mechanical. Backlog at March 31, 2010 was $879 million, $700 million higher than last year following the Lockerbie & Hole acquisition. New contract awards of $150 million in the quarter were $124 million higher than in the same period in 2009. In the Concessions segment, revenues for the first quarter of $21 million were down $4 million. The majority of the decrease came from Aecon’s interest in the operator of the Cross Israel Highway, as revenues generated in 2009 from the installation of tolling equipment on a new section of the highway were not repeated this year. Segment operating profit of $5.2 million in the first quarter compared to a profit of $4.4 million in the same period in 2009. The improvement in operating results comes from the Quito airport concession and reflects the benefit of lower amortization costs in the quarter due to a lengthening of the period over which the value of the concession rights for the existing airport is being amortized That concludes my remarks, and I’ll now turn it over to John, who will discuss the outlook for the year ahead and beyond.
John Beck: Thank you, David. As the second quarter begins, most of the key trends that shape Aecon's outlook at the beginning of the year have remained in place. Those segments most expose to public infrastructure such as roads, transit, hospitals and water infrastructure continue to see strong markets, healthy backlog and substantial new business opportunities and those segments, most expose to commercial building, industrial construction and private development continue to see lower backlog and more uncertain short-term growth prospects. The ongoing strength of the bidding pipeline in Canada’s public infrastructure markets, combined with a general increase in the size and duration of the projects Aecon is winning, provides Aecon with increased visibility regarding its outlook for these markets. This trend was further enhance following the end of the quarter when Aecon joined the construction joint venture extending the A30 highway near Montreal, one of the largest contracts Aecon has ever participated in and one that continues until late 2012. The A30 project is one of many examples of alternative financing models such as public private partnerships that have emerged across the country. As Canada recovers from the recession, with the federal and provincial government deficits to deal with, but with years of underinvestment and public infrastructure still needing to be addressed. Public and private partnerships are expected to become an increasingly attractive tool for the delivery of public infrastructure. This further strengthens Aecon’s outlook of these markets. In an economical environment where the commercial and industrial construction markets continue to feel the impact of the recent recession, Aecon’s growing visibility and confidence in the public infrastructure markets is important. Combined with Aecon’s strong balance sheet and liquidity position, this allows Aecon to pursue an appropriately patient strategy in its industrial business, continue to make capital investments and bidding new work strategically as the market strengthens over the coming quarters. While signs of recovery are clearly present in the oilsands with a number of important projects back off the shelve including some going as far as back three project where Aecon Lockerbie is playing an important role, econ continues to believe that most of the impact of the strengthening oilsands market will not be felt until 2011 and 2012. Similarly, the industrial markets in Ontario and Eastern Canada, which were hit hard by the recession are beginning to show signs of recovery. As such while Aecon’s 2010 results would likely be driven primarily by public infrastructure construction, 2010 and 2011 should be a period of recovery in private sector investment. It might even be stronger in the later half of the period. Taken together, the strong outlook for public infrastructure construction over the next three years and the improving outlook for industrial construction over the same period will suggest the 2011 and 2012 will be a period where Aecon's financial results will increasingly reflect strength in both the private sector and the public sector elements of our business. Aecon's building segment is one that straddles both the public infrastructure market and the commercial construction market. Currently, most of Aecon building backlog consists of public infrastructure projects such as hospitals and universities and this is expected to remain the case over the next several quarters as these markets continue to present significant opportunities. Progress continues to be made in resolving issues surrounding Aecon's construction interest in the Quito International Airport project, significantly solidifying the future of the project. Assuming prompt approval by Ecuadorian authorities, commercial and financial [clause] of the new agreement is expected during the second quarter of 2010. Aecon's strong balance sheet, financial liquidity and substantial bonding and surety capacity, each of which are among the strongest in the Canadian industry, position Aecon well to exploit the many growth opportunities that exist in today's market. Overall, I continue to believe that Aegon's new record backlog, the strength, depth and durability of the public infrastructure markets and the expected return to strength of the oilsands and industrial power markets combined to signal continued, strong, financial performance throughout 2010 and even more so into 2011 and 2012. We will now turn the call over to analysts for questions.
Operator: (Operations instructions). Our first question comes from the line of Frederic Bastien from Raymond James.
Frederic Bastien - Raymond James: I was wondering if you could provide an update on how things are going with the Firebag 3 project and secondly what bidding pipeline you are seeing right now in the oilsands and whether it’s for fabricated work or whether it’s for site construction work?
Scott Balfour: Sure. So the Firebag project is one we have got a couple of touch points on, but the larger portion of that is a fixed price job of some size that we are well advanced on with a completion date before at the end of this calendar year. I would say in the very early days we had some concerns as we are ramping up around some of the early signs in terms of safety performance and we took a very proactive and aggressive stance there that not only with the full support of our clients Suncor but I would say also with very positive reaction and response from them in terms of that proactivity. Since than our safe performance has improved, our productivity continues to ramp up, our access to labor, notwithstanding the shutdown season in the oilsands right now is actually very strong and at this point the job continues to perform as well as we were still by and large on schedule, say for some issues related to client-driven aspects, all in very good cooperation and involvement of the client, I have to say job is actually going well. I think for us. We see this as a strategically significant job and I know Suncor does as well in terms of proving the ability to do lump sum work in the oilsands in environment that I think positioned us unlike many of the competitor that we saw in the last boom to help our clients manage price and cost risks in that environment, so Suncor is very happy, we are very happy, job is going well.
Frederic Bastien - Raymond James: Could you comment on the pipeline of opportunities?
Scott Balfour: The lighthearted comments I'd make is that the phone started to ring again and that would probably the old news now, so the phone continues to ring, there's a number of project opportunities that our team is looking at, and it is pretty good balance between field construction and fabrication module assembly work although the lion share of it and the larger opportunities generally are on the field construction side and that would hold through today. We're starting to see, I believe, the real benefit of the combination of Aecon and Lockerbie as we are now being invited to participate in project of some scale that we might not have, neither Aecon nor Lockerbie might not have before the combination. I think in terms of timing, our view fundamentally hasn’t changed and its tailend of 2010 and 2011 is likely to be the timing that we will start to see things happen in a more meaningful way, but I think things are unfolding and very consistent with the messages we have heard in our last conference call and activity levels continue to ramp up.
Frederic Bastien - Raymond James: Switching gears on Ontario now, can you comment on the Government of Ontario’s decision, obviously it's embraced that P3 model but also in their latest budgets they decided to pushback some of their commitments to infrastructure spending. Just wondering how that actually might impact your business in the province?
John Beck: Let me start by saying that the original plan which was to go ahead with Detroit-Windsor highway 470 east expansion and it has the $9 billion transit program that was announced looked over the top, looked unrealistic to me initially. Frankly, the fact that they've now postponed some of that transit work is probably good news because it just stretches over the opportunity over a longer timeframe and makes it more realistic in terms of execution. There are some projects however of that transit program that are still going on and they are going to be bid as schedule. One is the new subway line to you York University. The another one is the Scarborough line, the third one will be the line from Union Station to the Airport. So significant number of transit projects are still proceeding. So while they postponed some of the longer term, very expensive, the [ticket items] which will follow a new course.
Frederic Bastien - Raymond James: Following on that, the government also approved recently $9 billion worth of renewable project with the construction and engineering contract of the year to be awarded. Is Aecon interested and how does it position itself to bid for that kind of work?
John Beck: Talking about the [FIT] program, the large wind power projects and some of the solar work, we are executing some of that work now in a small way so far but growing and we expect to be full participants in the construction phase of that work, both on the wind and solar overtime.
Frederic Bastien - Raymond James: Okay, great one question David, my last one too. The depreciation and the amortization line item that you recorded for the quarter. Is this is good run to you going forward?
David Smales: I mean there is still an element of the amortization and intangible backlog which we have worked down overtime but we spilt those numbers, so subject to that ramping down overtime then, yes, certainly those numbers are fairly indicative.
Operator: Our next question comes from the line of Greg McLeish from GMP Securities.
Greg McLeish - GMP Securities: Just wanted to drill down on the Industrial side, you indicated you won $150 million of new project awards in the quarter and the increase in awards occurred mainly in Ontario and Mechanical operations. Can you elaborate a little on that?
Scott Balfour: That's Ontario and Mechanical, so there is balance of both, I don’t think there is anything particularly noteworthy or special or unique in that, just fairly consistent with the type of work that they would traditionally do. Is there something else you are trying to get out Greg?
Greg McLeish - GMP Securities: There is a large project maybe that had been one in Ontario or something and that could be an indication that the Ontario market was having a recovery.
Scott Balfour: It's mostly, small jobs and some of it has actually increased scope on work that was already being done, but there is no one big notable job in that amount.
Greg McLeish - GMP Securities: Okay. Then is there something in the [west] on the oilsands. Do you think that maybe the fact that the bidding or maybe the contractor was also taking longer because they are doing the engineering first right now, instead of doing it concurrently, so they are going through the engineering phase right now and then they are going to look for procurement?
Scott Balfour: So, I also think that the procurement process itself is no longer particularly an environment where clients are not just saying well, let's hook up with a contractor, agree on fee over cost and charge on blindly and we will see how it works out. Now the process is more traditional from what we are used to in the construction environment, where we get involved early in conversations with the client. We have conversations with the design engineer, start to refine, design and participate in that, and then ultimately put together budgets and then decide on what the procurement model is. Whether it is still cost reimbursable or some element of unit priced or fixed price. So I think we are just in an environment where the procurement process, everybody is wanting to make sure that it gets done right this time and part of it, for sure is that they are looking to make sure that engineering is appropriately advanced in order to ensure that the cost is in control but there will still be projects where it is not possible to have engineering to a point where the fixed price construction is even possible. So I think that the procurement process now will be one that is much more collaborative and much more organized and efficient ultimately I think the assisting in managing cost and schedule for clients. So, we are not seeing anything that's negative out of that. We are actually seeing very positive development.
Greg McLeish - GMP Securities: Just one more question, I was just wondering if you could update us on any of your A3 bids going forward like the Women’s College Hospital or anything like that?
Scott Balfour: Yes, Women’s College Hospital we are one of three teams prequalified. We have not been notified that we are the preferred proponent, but I’m not sure we are in a position where we can publicly comment on where that particular project stands. We have also submitted a prequalification for that we do hospital development in Oakfield and I have just been informed that we are participants in one of the three teams that has been prequalified for that. We are in the process of preparing for bid in the Winsor Gateway Project and there are few other projects that are sort of on the radar screen including 407 East and a couple of other that we expect to come in shortly.
John Becks: We also hope to participate in some A3 projects West that have been awarded one particular in Alberta, where we believe we are a low bidder, but we don’t have any firm confirmation on that yet.
Operator: Our next question comes from the line of Michael Tupholme with TD Newcrest.
Michael Tupholme - TD Newcrest: You had improved performance in the building segment this quarter. So I am just wondering if you can give a sense as to how the turnaround efforts there are progressing and highlight any areas that you still feel need some more work.
Scott Balfour: Things are progressing as expected, which means something are showing improvement and obviously we saw positive financial results for the quarter and that's certainly one of the most important things but this is not a process where we obviously internally will be and are measuring and monitoring. This on an ongoing basis and making sure that we're taking the right step in the right direction and I believe that we are and the same time that's a process that will take some time and we need to be careful that we don't read too much into the results for each success along the way although each is important. So, we are taking steps in order to ensure that some of the disciplines that we know need to be improved within the group are done so and done on a consistent basis. We are making good progress there. We're continuing to focus on strengthening the team and people and that also is a slow process and we are making progress, but it's a slow process and but continuing very much to focus on that effort. We also are very selective and focused in terms of the project opportunities that we pursue, to we make sure that we are pursuing the right ones and finally and most importantly obviously is ensuring that we continue to focus on the execution of the work that we have on hand and putting forth the best teams and the best process that we can. So yes we are making progress and we’re seeing some positive signs, but still some more work to do.
Michael Tupholme - TD Newcrest: Just shifting over to Industrial segment, you had some commentary in your outlook suggesting that you’re beginning to see some signs of improvement in terms of the Ontario and Eastern Canadian industrial markets. I am just wondering is that can you sort of elaborate on that a little bit and sort of the power side or what is that that you are seeing?
Scott Balfour: Yeah, I am not sure it's got a particular theme to it yet. I think we are seeing some opportunities across a range of sectors although that too in early days, but there are few notable projects that we are pursuing, including in the [resort] and others, but I think where some of the optimism comes from is if you focus on the Ontario market within the Industrial group, clearly the automotive part of the economy in Canada is an important part of the economy of Ontario. It's not a market that we are squarely focused on, but as the market there continues to improve and its obviously showing some signs there, that will consume some industrial capacity in the market and also creates some downstream opportunities that will only bolster, some of the strength that we are starting to see again in some of the other sectors. The power side in Ontario, the plan is there, the project opportunities are there, and things still not happening at the same kind of pace as what we would have seen two or three years ago, but certainly we are starting to see momentum starting to build again and the opportunities within that particularly in the nuclear side continue to be quite significant and something that I think we are particularly well positioned for.
Michael Tupholme - TD Newcrest: Then just one follow-up question, sticking with Industrial, but in terms of Western Canada in the oilsands, earlier you talked a little bit about the fact that in terms of the opportunities you are seeing now, there is more great proportion of the opportunities that right now relates to field work as opposed to fabrication and module assembly. Is that something that as time goes by and projects get a little more advanced, you see that mix swing back to a bit more of a balanced mix and if so over what sort of timeframe do you think we see that happen?
Scott Balfour: It is also important to note that the balance mix we did need to do that on a effectively pro forma basis because for Aecon historically that mix has been predominately fabrication and module assembly where with Lockerbie they obviously did both in a significant way, but the field construction represented a much larger portion of their activities, but certainly as some of these project initiatives, the Firebag, the Sunrises, the Surmonts and others that are all getting lots of talk in the press. As they continue to advance some of the procurement focus that in many cases starts with the field construction related activities then turns to module and fabrication if that field construction starts to run its course. I don’t think any guidance in terms of timetable beyond what we have already said which is we continue to see the turnaround that starts to see itself in a more significant way in the latter half of '10 and into 2011 and I think that we will start to see more module and fabrication related opportunities within that same kind of timeframe.
Operator: Our next question comes from the line of Paul Lechem from CIBC.
Paul Lechem - CIBC: Just on the Building side, in the write-up, you mentioned a couple of buildings projects which have underperformed that you are now recording at zero margin. Can you give us a sense of how much of your revenues in the Building segment come from those projects and when are those projects expected to be completed?
Scott Balfour: Certainly the completion schedule related aspects for both of those projects within the next 12 months to 18 months kind of timeframe and they will have completed something to two of noted reference, both about 50% complete as we stand today. So there is still some more work to do. Unfortunately we end up doing that work mostly with no margin contribution. So that will mean that sort of a margin profile in the Buildings group isn’t normalized because we have right through a fair amount of work right now at lower margins. It doesn’t represent the lion share of building backlog for sure but it's not immaterial either in terms of the remaining completion value of those two jobs.
Paul Lechem - CIBC: Could you at least give us a ball park? Are we talking about the revenues in the Buildings division come from those two contracts or?
Scott Balfour: Yes. Much less than that, say, 15% to 20%.
Paul Lechem - CIBC: On the Industrial business, do you have any sense, what ' the utilization of your western workforce in the facilities out there at present and I have to just to try to get a sense of what level of work do you need to carry the infrastructure there and to drive margin upside and where do you get to if you can get to that level?
Scott Balfour: I’m not sure how best to answer that question. I’d say in terms of the fabrication and shop capacity, if you recall both Aecon and Lockerbie have shops within close proximity to each other. One is owned. One is leased. We have at least to this point consciously decided that we will keep both shops, although in the current environment we are only operating on one. So we have decided to maintain access to the second shop. It is currently not utilized at all. We are doing some ancillary and opportunity type work out of it, not more of traditional market work. So in our view the access to that capacity is something that as the oilsands recover, as we believe they will, we'll be at a significant competitive advantage in having that’s significant close proximity capacity, but at the same time we are operating well less than what our technical full capacity is. Utilization within the one shop that we are operating, I would say, is also less capacity I couldn’t tell you right now, where we [shift]. There was not much modular fabrication work going on in the current environment across the sector, but certainly also including within our facilities in that market.
Paul Lechem - CIBC: If you to get your facilities back to a reasonable capacity utilization, the margins we saw in the course of the industrial division, the operating margin was 3.8%. How far higher can you drive back if things were to get back to the reasonable level of capacity utilization?
Scott Balfour: I think what we have said is that we continue to believe that the margin profile within the industrial segment from a strategic perspective, we believe it should be in the range 8% to 10% and there are opportunities in some markets where we can we believe outperform that. We saw that obviously in 2008 when we delivered more than 12%. We're not in that environment today both as a result of what's happening in the oilsands whether it was a gap in terms of the level of activity that we believe will close again, but nonetheless. Also similarly, in the Ontario market driven by the broader economy impacts and some reduced momentum in the power side, again all things that we believe are temporary and will reverse course, I will just say that we believe the opportunity in the industrial segment is to deliver margins significantly higher than the kind of margins that we saw in the fourth quarter of '09 and the first quarter of '10, but we still got a few more quarters we think to work through before we start to see some of that margin improvement that results from increased activity levels.
Paul Lechem - CIBC: In 2010, you're anticipating the remaining have this [comp] of Q1 levels for the remainder of 2010, or do you think it' going to gradually rise through the year?
Scott Balfour: I don't see that the work environment will be materially different in the next few quarters as what we've seen in the last few quarters. I think that in the context of the environment that we are operating in is starting to change, but I don't think we're going to see the benefit of that change in the next couple of quarters, which would therefore lead one to believe that there may not be significant expansion of margins until we start to see work volumes and opportunities in the broader environment improve.
Operator: Our next question comes from the line of [Chris Blake from Stonecap Securities].
Chris Blake - Stonecap Securities: Most of my questions have been, but I have a couple of follow-up, one with respect to Ontario, I was wondering with the implementation on the HST tax later this summer, if you could comment if three is any impact on your operations in terms of any cost escalation on projects that you’ve already provided [funny] commitments for?
Scott Balfour: The short answer is, no. All those impacts would either be already factored in or flow-through to the client, so no, material impacts.
Chris Blake - Stonecap Securities: You mentioned also in your commentary, with the respect to the margins we're a bit lower on Ontario with respect to your utility operations. I was just trying to get a further color on why that? What's the case during this period or was it just lower activity levels that drilled their, or was there any contract rollovers that may have negatively impacted the margins in that business?
Scott Balfour: No, I’d say, it pointed to one thing. We did significantly expands some of the activities in that group through 2009 with the addition of another large alliance contract and there would have been some learning curves issues and nothing that stands out is being troubling I think we still continue to see very strong performance out of the utilities across the sector, but the margin profile that we would have seen in 2009 as we ramped up significantly to address some of that growth. We would have seen some temporary impact in terms of cost and productivity that we think we have worked through.
Chris Blake - Stonecap Securities: Very good and just back on the Quito project, I know you are continuing to finalize the revised terms of the contract. I was just wondering if you could provide a little more color on why the delay is taking into Q2 now as opposed to I guess what we are originally expecting January. Can you provide little more color in terms of why that’s the case and what’s kind of holding us back from getting a final approval?
John Beck: It's John here. I think the delay has been caused by what I will call the way that the Ecuadorian bureaucracy moves. There are three or four different parties involved in the final agreement. The most important one of which is the Constitutional Court and it's approval process. It has reviewed the document twice, it has generally accepted subject to other parties exceptions like controller, like the attorney general like legal advisors and so the document has been moving from one authority to another and each one takes the time that it takes. So it's a process. I will say it's on a positive side that both the Mayor of City Quito and their official contracting partner and the President of Ecuador, each have come out publically supporting the restructuring of the project and the results of that restructuring, so we are very optimistic that subject to the process we are still going through, we will sooner reach final agreement.
Chris Blake - Stonecap Securities: Very good, and just lastly, I know John you have a strong outlook in terms of the infrastructure spending over the next three years. In some cases the government said that there is a March 2011 deadline for completion on some of these projects. I was wondering how that impacts your bidding activity in terms of, does that preclude you from bidding on certain projects because you are not sure you are going to get the funding post-2011 to 2011?
John Beck: The big picture in terms of those stimulus spending program has been, I would say, smaller to medium size projects. We have seen municipal infrastructure. We have seen colleges, arenas, those kinds of projects right across Canada, where we have been bidders but they are not a significant part of our business. That hard stop of end of March 2011 should not impact any of the projects that are in our pipeline right now. So I think the quick answer to your question is no. No material impact.
Operator: Our next question is a follow up question from the line of Frederic Bastien from Raymond James.
Frederic Bastien - Raymond James: I guess, one of the hidden jewel is the Lockerbie acquisition, if I may say, they were doing a lot of mining work a few years back. I was just wondering, if you are seeing a renewal in activity in that space and how are those operations positioned to benefit from that?
Scott Balfour: Yes, certainly we are starting to see some opportunities, particularly in the east and I think that one another example of where we start to see some of the benefit of or a combination of Aecon and Lockerbie because we can take some of that process-related expertise and relationships and experience that Lockerbie had out of their Vancouver operations particularly on the [preserve] side and pair that with some of the civil related expertise and even in some cases with some buildings related expertise within Aecon, puts us in a position where we can talk about a broader scope and earlier entry in to site with some of those key clients. So, I think we are starting to see some opportunities developed that hopefully we will prove out another example of the benefit of combination of those core strengths of each of Aecon and Lockerbie.
Frederic Bastien - Raymond James: You lastly commented on, you expected stronger finish to the second half of the year, just wondering what we can expect for the current quarter. Do you think you can match the results you posted last year?
Scott Balfour: Not sure I want to get in to commenting specifically on looking at in broad range of guidance on quarter-by-quarter basis, but I will say that we generally in terms of the results for the first quarter as referenced in press release and in the call. Are doing less comparatively now compared to last year, but are on track with our own expectations and we continue to see strong outlook for results moving forward.
Frederic Bastien - Raymond James: Maybe I can re-word it normally you generally in the first half of the year basically break-even after two quarters unlike all of your annual profits in the second half of the year. SHOULD this year be any different from what you normally see?
Scott Balfour: I think the trending where we will see the third and the fourth quarter as being the strongest quarter, the first quarter being the weakest and the second being in between, we'll continue to hold through the amplitude of each of those. So much depends on so many different factors, Fredric and that's why, particularly the first quarter and even to some degree the second it's just so difficult to lean on and maybe even dangerous to look too closely at quarter-over-quarter comparison just because so much can depend upon what happens in terms of the timing of start-up of projects and the weather that both impacts that and projects start-up in June versus May that may make for equally strong results for the year, but significantly different results for the second quarter and so just many different thing can go into it that I think it's dangerous to get too focused on the quarter-over-quarter comparison. The broader message is as I stated and it continues to be our view, but just be careful about getting too fine in terms of thinking about first quarter versus first quarter, second quarter versus second quarter and first half versus first half.
Operator: At this time, there are no further questions.
Mitch Patten: Well, then I'd like to draw the call to close by saying thank you everyone participating. If further question arise as we go forward, please feel free to give me a call. I'll be happy to answer them the best we can and we'll say thank you and we'll see you in August on the second quarter conference call. Thanks.
Operator: Ladies and gentlemen, that does conclude the conference call for Today. We'd like to thank you for your participation ask that you please disconnect your lines. Thank you and have a great day, everyone.